Operator: Welcome to the Deere second quarter earnings conference call. (Operator Instructions) I would now like to turn the call over to Miss Marie Zieglar, Vice President Investor Relations.
Marie Zieglar: Good morning. Also on today’s call are Jim Field, our Chief Financial Officer as well as Susan Karlix and Justin [Maravick] from the Deer Investor Relations staff. Today, we’ll take a closer look at Deere’s second quarter earnings and then spend some time talking about our markets and how we see the second half of the year shaping up. After that, we’ll respond to your questions. Please note that slides are available to complement the call this morning and they can be accessed on our website at www.johndeere.com. First, as usual, a reminder. This call is being broadcast live on the internet and recorded for future transmission and use by Deere and Thompson Reuters. Any other use, recording or transmission of any portion of this copywrited broadcast without the express written consent of Deere is strictly prohibited. Participants in today’s call including the Q&A session agree that their likeness and remarks in all medium may be stored and used as part of the earnings call. The call includes forward-looking comments concerning the company’s projections, plans and objectives for the future that are subject to important risks and uncertainties. Actual results might differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause actual results to differ materially is contained in the company’s most recent Form 8-K and periodic reports filed with the Securities and Exchange Commission. The company, except as required by law undertakes no obligation to update or revise its forward-looking information. The call and the company materials are not an offer to sell or solicitation of offers to buy any of the company’s securities. And finally, this call will include financial measures that are not in conformance with accounting principles generally accepted in the United States of America known as GAAP. Additional information concerning these measures including reconciliations to comparable GAAP measures is posted on our website at www.johndeere.com under financial reports, other financial information. Call participants should consider the other information on risks and uncertainties and non-GAAP measures in addition to the information presented on the call. And now, for a closer look at the second quarter, here’s Susan.
Susan Karlix: John Deere’s strong performance continued in the second quarter of 2010. Earnings were up 16% on a scaled increase of 6%. Results would have been higher without a charge related to the recent enactment of U.S. Health Care legislation. The quarter’s improvement was broad based. The gain was led by Ag and Turf and all three divisions had higher profit. Among the highlights are Construction and Forestry business, saw its first year over year profit increase in nine quarters. Solid execution of our business plans was again a big story for the quarter as was disciplined costs and asset management. Trade receivables and inventory declined by some $900 million. Finally, in line with improved business conditions, our full year earnings forecast has been increased and now totals approximately $1.6 billion. All in all, it was a productive quarter and John Deere seems well on its way to a very good year. Now let’s look at the quarter in more detail starting with Slide 3. This is a supplemental slide illustrating the impact of the tax charge for U.S. Health Care legislation taken in the quarter. Excluding the approximately $130 million charge, net income attributable to Deere and Company would have been $677 million or $1.58 per share. On Slide 4, we show the net income attributable to Deere and Company on a reported basis, was $547 million. As we mentioned, that was a 16% increase in profit on a 6% increase in net sales in revenues. Turning to Slide 5, total worldwide equipment operations net sales were up 6% to $6.5 billion, Deere’s second highest sales on record in a second quarter. Currency translation on net sales was positive by four points and price realization was positive by two points. Both equipment divisions had positive price realization in the quarter. Turning to Slide 6, worldwide production tonnage was up 7% in the quarter. Construction and Forestry tonnage was up considerably in large part due to the easy comparisons with the second quarter of 2009 when tonnage was down 62% from the previous year’s level. In addition, improving global economic conditions, better pulp prices and low field inventory are benefiting the Forestry segment in 2010. Tonnage outside the U.S. and Canada increased due to strength in Argentina and Brazil, China, India and Mexico. For the full year, worldwide production tonnage is now forecast to be up about 11%. Let’s turn to the company outlook on Slide 7. Third quarter sales are expected to be up 21% to 23% compared with the third quarter of 2009. In the financial forecast, currency translation on net sales is expected to be positive by about two points. For the full year, net equipment sales are forecast to be up 11% to 13% compared with fiscal year 2009. This includes about three points of positive currency translation and approximately 1.5 points of positive price realization. This is in line with our previous guidance of one to two points. Net income attributable to Deere and Company is now forecast to be about $1.6 billion for the year versus our prior guidance of about $1.3 billion. That includes the second quarter tax charge of approximately $130 million for U.S. Health Care legislation. Turning to a review of our individual businesses, let’s start with Ag and Turf on Slide 8. In the quarter, net sales were up 1% and so was production tonnage. Operating profit however, improved by nearly $250 million or 35% to $952 million. The increase was primarily to improved price realization, higher production volumes, the favorable effects of foreign exchange and lower raw material costs. These factors were partially offset by higher post retirement benefit costs. You might notice we didn’t include the A&T incremental margin this quarter. It calculates at about 498% due to the very large swing in operating profit on the small increase in sales. A&T executed well with an operating margin in the quarter of about 17%. The division is benefiting again this year from strong sales of large Ag equipment in the United States and Canada compared with a normal year. A favorable mix contributed one point of margin in the quarter. Before we review the sales outlook, let’s look at some of the fundamentals affecting the Ag business starting on Slide 9. Commodity prices for the ’09/10 crop have remained steady at attractive levels since our last forecast with soybeans seeing an improvement. Soybean exports have remained at good levels despite strong South American crops and the good weather we have been experiencing here in the U.S. tends to favor more corn planting. Cotton prices remain well above year ago levels driven by strong Chinese demand and a reduction in the global cotton supply. On Slide 10, we have included Deere’s estimate of U.S. acres planted for 2010/2011. They are the same as the USDA estimates. Corn acreage is expected to increase 2.3 million acres to 88.8 million in order to meet growing demand for feed, export and ethanol. Turning to Slide 11, 2010 U.S. farm cash receipts are now forecast to be up about 5% from 2009 levels, a slight improvement from our last forecast. Livestock is driving the increase in 2010 receipts. The industry should finally expect profits this year after two years of losses. As you can see, 2011 farm cash receipts are expected to be up slightly from 2010 levels. Deere’s outlook for the EU 27 is shown on Slide 12. We are beginning to see stabilization in this market, but at very low levels. We don’t expect any real recovery in 2010. Farmer sentiment in the region remains negative. Small grain, port and beef prices are expected to remain under pressure and used equipment inventories remain at high levels due to the lack of product going to Central Europe. The industry forecast for 2010 unit tractor sales is slightly below levels seen during the last recession in the early 1990’s. Slide 13 highlights farm net income in Brazil and Argentina. Income from two main crops, soybeans and sugarcane, drive the bulk of equipment purchases in Brazil. So going forward, we will provide a breakout of these two crops when discussing farm net income. Corn, paddy rice and cotton make up the other category. 2010 farm net income is driven by the strength in sugar due to a drastic drought driven drastic reduction in output from India and China. Demand for sugar though, is only part of the story in Brazil. Other positive factors include demand for Brazilian commodities globally as well as government sponsored low rate finance programs like [Finami] and [Masalamentos.] These are all contributing to positive producer attitudes, which translate into higher spending on farm equipment. In April, the Brazilian government announced the Finami financing program would be extended through the end of December. For loans taken through the end of June, the interest rate will remain at 4.5%. For loans taken from July through December, the interest rate will be 5.5%, still an extremely attractive rate in the Brazilian market. Argentina is recovering from the severe 2009 drought with Ag commodity production up over 40% in 2010. With farm net income about $6 billion higher than 2009, we are seeing increased demand for tractors, combines, sprayers and forage equipment. Clearly, the markets are improving and there is a lot of good news out of Brazil. The next two slides illustrate the long term potential we see in the country. Slide 14 shows Deere estimates for planted acres and production of soybeans in Brazil over the next eight years. Planted acres are expected to increase about 45% and production about 60%. The story is similar for sugarcane. On Slide 15, you can see we expect sugarcane planted acres to increase about 65% and production about 55%. To take advantage of this opportunity, Deere opened a tractor factory in Brazil in 2007 to complement our combine factory. And, in 2008, we announced an $80 million expansion, adding capacity to both factories. Of course, we didn’t undertake this without the buy in of our dealers who are committed to representing John Deere and willing to invest in their own businesses. Moving to Slide 16, you can see we have added almost 70 dealer locations in the last six years and on Slide 17, we have expanded our product offering to meet the needs of our customers. In fact, in 2010 and 2011, we will add 50 new or updated products to our lineup covering a broad array of categories from tractors and combines, to turf equipment and precision technology. It’s an exciting picture for Brazil and its clear why Deere and its dealers are looking forward to the opportunity that lies ahead and to serving our growing customer base there. Turning to another great opportunity for John Deere, as you can see on Slide 18, on the heels of a slight pickup in activity and loosening of liquidity in Russia, John Deere celebrated the Grand Opening of its Domodedovo manufacturing and parts center outside of Moscow last month. We began limited assembly of large tractors, combines, elevators and four wheel drive loaders. Slide 19 highlights our 2010 industry outlook. Sales of agricultural equipment in the U.S. and Canada are now forecasted to be up 5% to 10%. That is quite a change from our February forecast of comparable to 2009, and our November 2009 forecast of down about 10%. We continue to see our order book strengthen, especially for large Ag equipment. Remember, the combine early order program ended in January with significantly higher than expected response rates. Demand for large tractors has been higher than expected as well. The new 8R Series tractor has been very received in the marketplace. We have continued to add schedules throughout the first half of the year and effective availability is November 2010. Effective availability for the 9000 Series tractors is September 2010. Conditions in Western Europe remain weak, but Ag sales there is still expected to be down 10% to 15% in the year. Although Russia is up slightly, other countries in the region remain down. Sales in Central Europe and the CIF are expected to remain under pressure, and based on the factors we covered earlier, South America is now projected to increase about 25%. Turning to another product category, we expect retail sales of turf equipment and compact utility tractors in the U.S. and Canada to be up 5% to 10% in the year. We remain cautiously optimistic for this market, as we have witnessed a slow steady movement in the right direction. Economic indicators are improving. Weather has been favorable for sales and we have had a very good start to the all important spring selling season. Putting this all together on Slide 20, Deere sales for worldwide Ag and Turf are now projected to be up 9% to 11% in the year versus our previous forecast of about 4% to 6%. Currency translation on net sales is projected to be positive, about three points. For the year, the A&T division’s operating margin is forecast to be around 12% to 13%. Let’s focus now on Construction and Forestry on Slide 21. With dealers replenishing their fleets, and global forestry markets strengthening from a very low base, Deere’s net sales were up 52% in the quarter. Production tonnage was up 82%. The division reported an operating profit of $36 million. Due to the very large volume increases from last year’s very low base, and positive price realization, C&F incremental margin was about 36%. On Slide 22, although we are forecasting the U.S. construction industry to be down about 5% for the full year, we feel the market has reached its bottom. We are encouraged by a number of positive developments. Independent rental companies are in talks and in some cases, beginning to purchase moving equipment. Also, Deere dealers are starting to see an improvement in rental utilization and used equipment turns. As mentioned earlier, global forestry markets are improving with pulp prices up significantly from last year and U.S. lumber production increasing. On Slide 23, Construction and Forestry sales are now expected to be up about 30% in 2010 from the very low levels of 2009. Our previous forecast was up about 21%. Our forecast now has operating margin slightly above break even for the year. Previously, the division had been forecasted to lose money. Let’s move now to our Credit operations. Slide 24 shows the worldwide credit operations provision for credit losses as a percent of the total average portfolio. Year to data on an annualized basis, the provision is 52 basis points. In the first half of the year, write offs in the Construction and Forestry portfolio have been considerably lower than expected. We are encouraged by improvement in recovery rates and increased pricing on repossession. However, we do continue to have high levels of repossessions and delinquent accounts. Consequently, we remain conservative in our forecast provision. The full year provision for John Deere Credit is forecast to run about 71 basis points, which is an improvement over our prior forecast of about 88 basis points. On Slide 25, past dues on the worldwide Credit operations are about flat with last year. Another promising sign is the C&F evolving charge and financing lease past dues are all lower than a year ago. Annualized write offs continue to reflect the excellent performance of our Ag portfolio coupled with improvements in the other portfolios. Moving to Slide 26, worldwide credit operations net income attributable to Deere and Company was $84 million in the quarter versus $68 million last year. The biggest factors were an improvement in financing stress, a lower provision for credit losses, growth in the portfolio and higher commissions from profit insurance. These were partially offset by lower tax credit related to wind energy projects and higher SA&G. Looking ahead, we are now projecting worldwide Credit operations net income attributable to Deere and Company up about $300 million in 2010. Now let’s turn our focus back to equipment operations and take a look at receivables and inventory on Slide 27. For the company as a whole, receivables and inventories were down roughly $900 million in the second quarter versus second quarter 2009. We are now forecasting receivables and inventories to be up about $700 million for the year. The increase of $250 million from our outlook last quarter is a result of increasing production levels, especially in the fourth quarter. Now let’s discuss the latest on retail sales. On Slide 28, you see the product categories for U.S. and Canada for the month of April expressed in units. For Utility tractors, industry sales were down 6%. Here, it was down low double digits. World crop tractor industry sales were up 6% and Deere was up less than the industry. Four wheel drive tractor industry sales were up 40%. Deere was up more than the industry. And for combines, the industry was up 21%. Deere was up by single digits. Looking at Deere dealer inventories in the bottom chart, for row crop tractors, Deere ended April with inventories of 18% of trailing 12 month sales. Combine inventories were at 8% of sales. Turning to Slide 29, in Western Europe, sales of John Deere tractors were down a single digit and combines were down double digits in April. Deere’s retail sales of selected turn and utility equipment in the U.S. and Canada were up double digits in the month. Construction and Forestry sales in the U.S. and Canada, on both the first in the dirt and settlement basis, were up double digits in the month. Slide 309 shows raw material and logistics costs down about $70 million in the quarter. We now forecast material cost decreases of approximately $100 million for the year. This is slightly lower than our previous forecast reflecting higher commodity price projections for input like steel. By division, the Ag and Turf savings are forecast at about $125 million. For Construction and Forestry, we are now forecasting a material cost increase of about $25 million. This is due to the currency impact on partner products and higher steel prices. Now let’s look at a few housekeeping items. Looking at R&D expense on Slide 31, R&D was up about 4% in the quarter with currency translation accounting for about one point. Year to date, R&D expense is up about 6%. For the full year, R&D expense is expected to be up about 13%. We expect R&D to ramp up in the second half of the year due to interim Tier four durability build and feasibility testing on products that have interim Tier four production base after 2011. Moving now to Slide 32, pension expense in the second quarter was up about $70 million. The 2010 forecast calls for an increase of about $350 million in pension expense, which is down from our previous forecast of about $400 million. Of the $350 million, about $300 million will hit cost of sales leaving about $50 million in SA&G. Approximately $275 million of the additional expense is attributable to the Ag & Turf division, which the increase for C&F is about $75 million. On Slide 233, SA&G expense for the equipment operations was up about 8% in the quarter. Variable incentive based compensation accounted for about five points and currency translation added about three points. For fiscal 2010, we now project SA&G to be up about nine points. Variable incentive compensation is expected to contribute about four points of the change as profitability improves. In fiscal 2009, when profitability was lower variable incentive compensation was about six points lower than it was in 2008. Pension and OPEC accounts for about two points and currency translation about two points. Moving to the tax rate on Slide 34, the second quarter tax rate includes the charge for U.S. Health Care legislation of about $130 million. For 2010, the full year effective tax rate is expected to be about 40%. This includes the $130 million charge. Excluding the charge, the forecast effective tax rate for 2010 is 34% to 35%. Before touching on cash flow, currency movements, both translation and transaction, or trade flows, increased operating profit by about $80 million in the second quarter predominantly in Ag and Turf. On Slide 35, you see the strong cash flow from our equipment operations even in years of tough market conditions like 2009. This reflects in large part, our success managing assets and controlling working capital levels. We anticipate strong cash flow from equipment operations in 2010, about $2.5 billion, up from $1.4 billion. Such strong cash flow is further testament to the successful execution of the SGA model. On Slide 36, capital expenditures are expected to be about $900 million for the year primarily driven by interim Tier four. Depreciation and amortization is projected to be about $550 million. Our forecast currently includes about $600 million of pension and OPEC contributions in the year. In closing, John Deere has reached the halfway mark of 2010 on a strong pace. We’re looking forward to delivering a solid second half of the year. Our performance no doubt reflects the improvement in overall economic conditions. It certainly reflects strong demand for large farm machinery in the United States and other key markets. By the same token, we are benefiting from the solid execution of our operating and marketing plan, allowing us to quickly capitalize on these positive moves in the marketplace. We’ve been quite successful extending our competitive position as well, increasing capacity and adding productive and models and equipment to serve an expanding global customer base. As a result, we believe our company is well positioned to benefit from a growing worldwide economy and to continue delivering value to our customers and investors for the long haul.
Marie Zieglar: We are now ready to begin the Q&A portion of this call. The operator is going to instruct us on the polling procedure. As usual however, I ask that you respect the rest of the audience participants and ask two questions, a limit of two questions. No follow ups in that limit. If you have additional questions, you are of course welcome to get back into the queue.
Operator: (Operator Instructions) Your first question comes from Robert Wertheimer – Morgan Stanley.
Robert Wertheimer – Morgan Stanley: On the Ag margin, I wanted to ask first, is there anything particularly abnormal in price cost? Is this just where the lower materials flow through and you got the pricing and so that would erode or is maybe some of the old consumer margins coming up?
Susan Karlix: In the quarter, we are experiencing some improvement obviously in market conditions for the old turf, but you’re absolutely right. That pricing was positive. We talked about two points for the company and raw materials was also a positive.
Robert Wertheimer – Morgan Stanley: In Brazil, your share has been very good in the past couple of years. It was a little less good in the past three or four months on high horsepower tractors is what I’m talking about. I know that’s lumpy, but has there been any production issues and when are the new models all launching that should help that as well?
Susan Karlix: There have not been any production issues, but you are correct that we are in the process of transition. I don’t have the exact dates on the individual models and a couple actually came in from other markets. But as you well know, you need to look at market share over a long period of time. You have normal ebbs and flows. We feel very good about the positioning of our product line, especially now that we have these new products available.
Operator: You're next question comes from [Jerry Rebisch – Goldman Sachs]
[Jerry Rebisch – Goldman Sachs]: Can you please talk about the drivers of the production ramp in your international Ag facilities? How much of that is to support the transition to Tier four interim versus stronger production for North America, Brazil and Russia?
Marie Zieglar: Our international factories in terms of producing for the U.S., there would be some with the medium sized tractors in particular. They’re coming from markets like Mexico and Manheim, so there would be some activity there. Most of those products though, I think virtually all, would not be subject to IT 4 requirements until starting in 2012 because of the horsepower rate. If you recall, the IT 4 breaks at 175 for 2011 and then below 175 in 2012.
[Jerry Rebisch – Goldman Sachs]: On the R&D side, Susan alluded to the step up in investment in the back half of the year. Should we look at a similar pace of investment going forward until the full Tier four interim product rollout is complete?
Marie Zieglar: Yes, I would see any reason why those numbers will roll back because there’s just an enormous number of launches ahead of us.
Operator: You're next question comes from David Raso – ISI Group.
David Raso – ISI Group: I have a question related to the guidance. The first half of the year you had sales of $10.8 billion. In the second half you’re guiding to $12.6 billion. So you get $1.8 billion of sales growth sequentially, I’m talking. And on the segment profits, the first half you did about $1.3 billion. The back half guidance roughly implies $1.2 billion. So again, we’re saying sales are going up $1.8 billion sequentially, but profits go down $100 million. Now I could see the R&D first half, the second half does go up $100 million. You get a little D&A help, a little pension help, but let’s call that $100 million; I understand the $1.3 billion going to $1.2 billion. But on the revenue growth of $1.8 billion, if I think of a typical incremental margin at 25% that you would get, that you’re saying we’re not going to get it all. Sequentially, that’s implying your price versus cost in the back half of the year is like negative 3%.
Marie Zieglar: Our raw materials in the back half of the year are expected to be negative approximately $170 million. That’s what’s implied in the guidance in the final six months.
David Raso – ISI Group: That’s year over year though. I’m talking sequentially; do we think price versus cost is that negative?
Marie Zieglar: Yes, because we had favorable raw material costs in both the first and second quarters. We had two points of positive price realization for the company in both the first and second quarters and our guidance, which is as Susan pointed out, is unchanged. We’re looking at for the full year, about 1.5 points and that implies it would be a little less in the second half of the year. You have higher SA&G as we move into the back half of the year too.
David Raso – ISI Group: But again, sequential is different than the year over year. In the channel, we learned that you did raise price in April and it depends on how quickly you can shift what is under the old pricing with the new pricing. Can you help me understand price versus cost. Are there pricing actions that you’re taking including, we heard you weren’t price protecting orders from dealers for their inventory, but you are protecting of course customer invoice. Can you help me understand the price versus cost?
Marie Zeiglar: At the time that we announced the price increases, we pretty much had a full order book for tractors and as you know we were long since done with the combine early order program. So there are very modest benefits to us in the fourth quarter in terms of price realization from those actions so they’ll be more evident as you move through 2011.
Operator: You're next question comes from Stephen Volkmann – Jefferies & Co.
Stephen Volkmann – Jefferies & Co.: I’m wondering if we need to sort of rethink earnings power particularly in the Ag and Turf division. I guess I’m assuming that the Turf margins are still well below the Ag margins and so it looks to me like this was actually a record quarter for Ag margins going back as far as my model actually back in ’85. But where do you think we are on percent of normal in Ag and is there any reason we shouldn’t be thinking of this business as getting close to 20% at the peak in terms of EBIT margins.
Marie Zieglar: You might be surprised when I tell you where we think we are relative to normal and worldwide Ag and Turf. We think we’re actually below average. Where we are very strong is the United States and Canada, specifically in large Ag equipment, but in many other areas we are very low, as we’ve talked about in Europe and Russia for example, and although recovering in smaller products like compact utility tractors and the turf, etc. And you have Brazil recovering, or I should say more broadly, South America recovering but still not to the very high levels or the levels that they would have been. So as we think about where we are relative to our total opportunity, we would tell you that we’re again, below our average sales opportunity. That said, Susan did point out that we are benefiting in the quarter and actually this would be true for the full year by about a point because of the heavy mix of large Ag equipment. We also have good pricing, as we talked about in the quarter and a tailwind on raw materials that will flip in the second half of the year. You’re right. By our calculations going back the 17% is very strong and compared against, I think as we calculate our previous peak in the second quarter would have been about 15. So I would say there is additional upside certainly in terms of volume to summarize, but you do need to bear in mind that we have a very favorable mix of large equipment and its worth about eight points. And again, I want to emphasize that point is not year over year. We’ve seen this favorable mix really in 2008 to some degree and certainly 2009 and this year.
Stephen Volkmann – Jefferies & Co.: Just to push you a little bit, if we can get all these market recovering globally, won’t that be enough to more than offset the one point of mix that we have here and that margins should be structurally higher?
Marie Zieglar: I would tell you that we are aspiring in this business to get ourselves to about 14.5% margin. That would be over a full year obviously, not in each quarter, and so we have a little bit of work to do. But we are very focused on improving that return.
Operator: You're next question comes from Greg Williams – J.P. Morgan.
Greg Williams – J.P. Morgan: You have $3.6 billion in cash this quarter versus the $3.4 billion last quarter. What are your priorities for excess cash going forward?
James Field: We have for some period of time had a very well articulated and consistent use of cash policy, which is number one; we’re firmly committed to the single A rating. Number two, we’re going to continue to make the requisite investments in the business to continue to long term viability and sustainability of the business and extend our competitive advantage. Number three is, we will look then once we’ve appropriately satisfied the first two, and once we’re comfortable that we are carrying enough liquidity given what’s going on in the external market environment, particularly in the capital markets, that we will look from time to time at number one for giving a moderately increasing but steady dividend to our shareholders and also we’ll explore repurchases from time to time as an alternative means of distributing cash beyond that cash strategy. We’re not going to say a whole lot more in terms of when we might move into the third step of that use of cash strategy.
Greg Williams – J.P. Morgan: Did you see any pre-buy activity in the past quarter and are you seeing any today?
Marie Zieglar: You’re talking specifically about IT four?
Greg Williams – J.P. Morgan: Yes, in North America.
Marie Zieglar: It’s very, very hard to call out and say this is IT four related or not. If you look at the Ag business, we have a very successful launch of the new 8R Series product. It’s been extremely well received in the market. You have strong farm cash receipts on proved farm net income. You’ve got interest rates at historically low levels and again, as we believe that Deere provides a very good value proposition to the marketplace. We have updated our dealers about the general requirements of upcoming emission requirements and have assured them that our strategy of providing good value, quality, reliability etc. will remain unchanged. But again, it’s just very difficult to pinpoint the specific impact of IT four. If you go to the Construction and Forestry division, there the division is at such low levels of activity, it’s hard to argue that there is any pre-buying, although again, I can’t preclude it because I can’t definitively tell you. I can tell you that where they are seeing some pickup from rental houses for example, has been in the smaller stuff, the below 175 horsepower, so that’s not subject to the start of the IT four in 2011 so I don’t have a definitive answer for you.
Operator: You're next question comes from Andrew Casey – Wells Fargo Securities.
Andrew Casey – Wells Fargo Securities: Quick question on the outlook and then cash flow, on the availability that you talked about for series 9000 tractors, are there any initiatives being pursued to increase capacity for this fiscal year or should we assume it’s pretty much steady as she goes.
Marie Zieglar: We have been increasing our capabilities of delivering products to customers over the course of the year. We’ve increased our schedule, as you’re undoubtedly aware several times. We have undertaken a capacity increase starting in 2008 and are benefit certainly from the actions taken there both on combines and large tractors. Availability of the 9000 specifically is September; I should say effective availability in both cases is November.
Andrew Casey – Wells Fargo Securities: On cash flow, can you help me understand, this is a quarterly, kind of six month question, what drove the receivables from unconsolidated series benefit?
Marie Zieglar: Basically we’ve got, it’s been our company money temporarily loan capital corporation. It’s as simple as that.
Operator: You're next question comes from Henry Kirn – UBS.
Henry Kirn – UBS: I’m wondering if you could chat about why the FX in the guidance didn’t change by very much given the move in the Euro.
Marie Zieglar: Our forecasting process, we would do our evaluation of our forecast at the end of April, and we would have used the average rate for currencies that was in effect at the end of April to translate the income statement and balance sheet for the 31 October 2010 and then the income for the remaining period of May through October. We have done some sensitivity analysis in terms of what, and I’ll talk specifically about the Euro, what a change in the Euro might mean. At the time we did the translation, we were looking at about an average of 1.34 for the Euro. If the Euro goes between 1.27 and 1.15, you’re looking at a favorable impact, we estimate. All other things equal, remember they never are, but all things equal, favorable operating benefit to the Ag and Turf division of somewhere between, and precisely it’s 7 and 22. Of course it never works out exactly that way, so you can see a little bit of sensitivity actually work to harm us in this particular case.
James Field: I might just add to that. In generally, our trade flows relative to the Euro land or Euro zone versus the United States are relatively well balanced. To the extent that we’ve had the Euro be an issue relative to our financials good or bad, it generally happens when there’s steep, sharp movements in the Euro versus the dollar. So the analysis that Marie has shared with you shows that in generally, we’re fairly well balanced relative to the Euro and that’s why you see this basically diminimous impact from the movement going forward. Now, Marie made a very important caveat; that is, all other things being equal and of course they never are, but that would be our estimate today.
Henry Kirn – UBS: Have you seen any change in behavior from fires in the European countries with sovereign debt issues?
Marie Zieglar: Actually, the market conditions there and the farmer buying mood is very poor and so we haven’t seen any cancellations, if that’s what you’re asking, but things are at a very low level of activity, so we haven’t seen things deteriorate further. In fact, if you want to find any silver lining there indicating some stabilization, again at a pretty low level.
Operator: You're next question comes from Alexander Blanton – Ingalls & Snyder.
Alexander Blanton – Ingalls & Snyder: Your inventory, your corporate inventory was up about $600 million during the first half from the end of last year and typically you run it back down in the second half to about the same level that it started. I assume you’re going to do that but in relation to the earlier question about why net income …
Marie Zieglar: Let me interrupt. Actually our forecast does not have us running it back down. That’s in our slide deck we show, and it’s a combination of receivables and inventory, but both categories contribute.
Alexander Blanton – Ingalls & Snyder: I’m talking inventory alone.
Marie Zieglar: I can’t give you a number. As we’ve discussed many times, separately, but I will tell you both categories are up. And if you recall, last year we were at extremely low levels of production in the fourth quarter as we were working to reduce inventories and align with …
Alexander Blanton – Ingalls & Snyder: I haven’t asked my question yet. My question is how much did the inventory increase do you think add to the first quarter net income, because that’s a factor in the second half net income being a little bit lower than people expect because your inventory increase inflated the first half net income a bit. How much would you say?
Marie Zieglar: Again, we don’t have a separate number as we’ve discussed before for inventory separate from receivables. Alexander Blanton – Ingalls & Snyder I’m asking how much it added to net income over absorption. Running up the inventory added something to net income. How much would it be?
Marie Zieglar: Maybe I could do it this way. Again, I’m going to have a combined number, and this would be a benefit but in the first half of the year, actually it turns out to be negative. This is just looking at inventory, because we had such low levels of production in the first quarter. You’re actually looking at something that would be maybe a $25 million net cost in the first quarter.
Alexander Blanton – Ingalls & Snyder: We’ll have to talk about it offline. You’re guidance went up, if I add back, and I assume that the charges was not in the first quarter guidance, right? In other words, the guidance three months ago didn’t have the charge in it.
Marie Zieglar: That’s correct.
Alexander Blanton – Ingalls & Snyder: So your guidance for the year is up about net income about 33% and I’m wondering what was it that changed so much so dramatically and why wasn’t the earlier forecast higher?
Marie Zieglar: We continue to see very good levels of activity in our Ag business specifically in places like Brazil and some large equipment in the U.S., and actually a bit of a turn in the Turf business and even in medium size tractors. We saw some other categories starting to improve. And then the Construction business is seeing a little bit more as our dealers are starting to see a little bit of field activity, seeing businesses starting to stabilize, a little more confidence.
James Field: Let me just jump in. A short answer to that would be pretty much everything has gotten better at the macro level. A&T is up, C&S is up and the Credit operations are up, and then on top of that, we’re seeing a very favorable mix. We’ve seen favorable mix development inside of A&T.
Operator: You're next question comes from Meredith Taylor – Barclays Capital.
Meredith Taylor – Barclays Capital: A couple of questions on the Construction & Forestry side of the business. Can you walk through some of the assumptions around this business? I know in the last quarter you were talking about inventories flat. It sounds at this point you’re looking at some inventory build on the part of dealers and then retail sales down 5% to 10%. Can you just update those?
Marie Zieglar: Retail sales for the industry we think will now be down about 5% and we think that’s frankly behind us. We think that we’re approaching a bottoming if we’re not already there. We’ve actually started to see, and I want to be careful because this is from very low levels of activity, but we’ve actually started to see a little bit of activity out of rental and some smaller equipment, but again, all very low levels. The other part, we have more production now planned in our fourth quarter than we did when we last gave guidance so that really drives the increase in ending inventories and receivables. Some of that is company owned. A little bit of it is from the field.
Meredith Taylor – Barclays Capital: Could you talk a little bit about the lead times that you’re seeing from your suppliers and then the lead times the dealers in the categories where you are starting to see the increase on the Construction and Forestry side?
Marie Zieglar: In terms of availability, actually we’re doing extremely well with our suppliers. We have worked pretty hard and they have worked hard to help meet our need, and we actually have some various strategies to flex up and down. That’s actually a part of our normal routine business planning process. The order fulfillment processes in the construction equipment divisions are working fine. We have plenty of ability to respond but I don’t have a definitive number for you on lead times, but things are starting to turn and we’re doing a very good job of meeting customer needs.
Operator: You're next question comes from Eli Lustgarten – Longbow Research.
Eli Lustgarten – Longbow Research: Can you repeat what the benefit was for the Euro? You said it was a slight benefit and it cut out.
Marie Zieglar: Between 1.27 and 1.15 you’re looking at somewhere between $7 million and $22 million, all things equal and operating profit.
Eli Lustgarten – Longbow Research: Back to the construction equipment area, do you have any sense how much of the improvement that you’re seeing in your high production is going to inventory restocking or rebalancing the fleets of your dealers as opposed to pure end demand. I assume you’re suggesting that end demand still not going anywhere and almost all the buying is replenishment of the fleet. Do you expect that to be finished this year?
Marie Zieglar: No, I wouldn’t say it would be finished because you’re at such a low level of activity and frankly even in terms of field inventories. But you are seeing again, from the rental companies, a little bit of a turn but most of it is some replenishment on the part of our dealers.
Eli Lustgarten – Longbow Research: Do you have any feel for where your inventories will wind up at the end of the year? I assume based on projections, you still seem to have very tight farm inventories at the end of the year in the farm sector.
Marie Zieglar: That would be true. That’s in part be design and then certainly in response to very good market conditions.
Operator: You're next question comes from Seth Weber – RBC Capital Markets.
Seth Weber – RBC Capital Markets: On your comment about used equipment inventories in Europe, is that across product lines and is that just more an industry commentary or is that Deere dealers? Can you give us some color there?
James Field: That is more or less across the line. Of course, we’re over represented by tractors and combines in Western Europe and we do not believe that Deere is not unique in this regard. In fact, we would tell you that our inventories in general are in good a shape as most anybody’s and this backup of used goods really tends to be more of an industry wide issue in Europe.
Seth Weber – RBC Capital Markets: Flipping over to Brazil, you raised your forecast for the South American market. Do you expect revenue comps to be down year over year for the second half just given the timing of some of the programs that were in place last year or do you think that’s …
Marie Zieglar: You may not be aware and we didn’t mention it overtly in the call, the Brazilian government has announced an extension or continuation of the low rate financing under the [Finami] program. It is currently 4.5% and it ends at the end of June. There is another rate that will be effective from the first of July through December 31, and that is 5.5%, which is up a little bit from 4.5% but still a very attractive level in the market. Regarding the [Masalamentos] program, at least as far as last week, we still have not heard anything from the government as to whether or not it would be continued. Conventional wisdom in Brazil does believe it will be continued. So I wouldn’t see a decline in the fourth quarter. We had originally talked about that when we assumed that the rates went back to more normal levels. As we look forward into 2011, again absent any other information we have to assume that the special rate will end at the end of December, at least for planning purposes what you would expect. It will affect sales though a little bit further into our fiscal 2011 because you usually have to commit with the bank sometime, we expect it would be by the end of November, and then you have a few months after that to actually take delivery on the equipment. So that would get us sometime into our second quarter.
Operator: You're next question comes from Barry Bannister – Stifel Nicolaus.
Barry Bannister – Stifel Nicolaus: Now that the dust has settled, I wanted to step back and ask a bigger picture question on Deere as a whole and lately in Construction and Forestry, this obsession with working capital has caused some pretty extraordinary swings in production tonnage and operating leverage and it’s resulted in volatility of operating earnings with EPS down 40% in ’09 and then back up 42% in ’10. So what I’m getting from investors is they really view Deere as more of a short term speculative vehicle not so much a long term investment, and the incentive system inside Deere is SVA based, has a very sharp focus on capital deployed. So we can expect these huge swings on production schedules on a regular basis going forward. So my question is, do we have a situation here of misaligned interest? Would it be better to smooth earnings a little bit over the cycles by alternatively over and under producing over time rather than panicking, cutting productions and quickly raising production when we find ourselves short competitively of inventory. Do you have any thoughts on that?
Marie Zieglar: I certainly do. We would tell you that our SGA model has been extremely powerful in raising the overall returns that we have generated as a company. You may recall that we traditionally turned our assets maybe a little more than one times. We’re well over two times. We think that’s helpful to our customers because they get new fresh product that is specifically designed to meet their needs as opposed to taking inventory that has been sitting out sometimes frankly too long at the dealer and it’s not optioned the way the customer wants it. In terms of our ability to manage working capital, you’re not mentioning the very powerful effect that it has had on our ability to generate cash flow, and we think that is critical and we think actually we can get very solid feedback on this. With the markets turned down, eventually you’re going to have to react, and it’s a question of timing whether you do it today or tomorrow. We do not think we have been knee jerked at all in responding to market conditions. And again, I think that our very superior returns speak for themselves.
Barry Bannister – Stifel Nicolaus: Does your $4.00 EPS guidance in 2010 include any loss for the sale of the windmills?
James Field: We have not arrived at any sort of definitive course of action relative to the wind business and as a result, our forecast does not contemplate any sort of definitive action one way or the other, other than it continues to be in the portfolio. What we’ve announced is that we’ve undertaken a strategic review and at the right time we will reveal what the results of that review will contemplate, but right now, our forecast contemplates that wind is a continuing piece of the John Deere portfolio. I would go back to the previous question and also offer the point that 2009 was an extraordinary year in terms of the schedule reductions that were put in place and then the reactions. And one I would say obviously if you’re going to develop any sort of hypothesis, I think it needs to be taken with a grain of salt in that it was so extraordinary and we are firmly of the opinion that long term that being very, very quick to react in terms of schedule, making sure that we have the right products out there at the right time with the right optionalities so we don’t have to give it away is in fact, in the long term best interest of our shareholders. And it’s a very complicated subject.
Operator: You're next question comes from Mark Koznarek – Cleveland Research.
Mark Koznarek – Cleveland Research: How much did foreign exchange contribute to operating income in the quarter?
Marie Zieglar: It was $80 million and its primary Ag, virtually all Ag.
Mark Koznarek – Cleveland Research: For your cash flow outlook, cash flow from operations, can you explain something to me. Maybe I’m just doing my math wrong, but you’re forecasting that to increase by $600 million, a pretty healthy, but net income in your guidance is up a little over $400 million when you add back that charge and then your receivables and inventories are actually going up as well, so I’m presuming working capital would be more of a use than previously expected and your depreciation actually is going down a little bit. So what am I missing that contributed an incremental $200 million or more to cash flow from operations.
Marie Zieglar: With the rise in payables, with the rise in activity late in the fourth quarter, you get a little bit and then we’ve got dividends from financial services that we didn’t have last year. And I think those would be the two biggest.
James Field: The dividend by itself I think is $200 million. A year ago, because we were re-levering the balance sheet to the capital corporation, we didn’t take any money out of the financial services, so effectively the earnings were not monetized, whereas this year, at least two-thirds of their earnings will be monetized in terms of cash and the equipment operations.
Mark Koznarek – Cleveland Research: And the comment about working capital with the payables, you’re saying that working capital is more neutral rather than …
Marie Zieglar: I don’t have it broken out exactly. I’ve got it by line items, but as we’re ramping up those schedules in the fourth quarter, you do because of the timing end up with some payables.
James Field: For example, in the payables, last year our incentive compensation accruals would have gone down significantly. I think we made a comment a year ago that six points of the SA&G decline was because of the reduction in the incentive compensation expense. That’s a reduction in an accrual, which through the cash flow statement effectively shows up almost as a use of cash and then as that accrual is being rebuilt, that’s a non cash charge to earnings and so it’s those sorts of items.
Operator: You're next question comes from Jamie Cook – Credit Suisse.
Jamie Cook – Credit Suisse: I’m curious on your R&D and SG&A expense when we think about each quarter, we’ve raised that expense. Your percentage increase a couple of points relative to where we were when we first started off, yet we’ve under spent in the first half. So why is that going higher? How do we think about the impact on Q3 relative to Q4? I’m trying to think if there’s anything else going on there or is that cushion in the guidance. And then just on your 2011 farm cash receipts forecast, again another stellar year. It’s probably the second best year in U.S. farmer history. Under what scenario would 2011 sales be down in the U.S. just based on your cash receipt forecast? Am I missing something? Is that why it’s not going to be up?
Marie Zieglar: The R&D spend, we have no deliberate cushioning in either R&D or SA&G. The expenses required to meet IT 4 are real and then engineering will be ramping up as we move through time. Does it get all the way up to 13%? I can’t guarantee it, but that is a very real cost and we’ve got plans in place for that. SA&G, there will be some launch expenses and I think there is as you know, we weren’t sure how the year would progress. I think there might have been a few things in SA&G that might have been postponed into the second half f the year that we had some flexibility on. I know even in my own case, some training that I didn’t do in the first half, I may do in the second.
Jamie Cook – Credit Suisse: Is it split evenly between Q3 and Q4? If I think of your total expense for the year, is it split evenly between Q3 and Q4, the remainder of what we need to spend?
Marie Zieglar: I don’t have that level of detail, I am sorry.
Jamie Cook – Credit Suisse: Then your 2011 cash receipts forecast for the United States. I’m just trying to figure out what I’m missing, under what scenario sales could be down? Is it Tier four, anything in your mind where we’re not having another up stellar year in the United States for farm equipment?
Marie Zieglar: At this stage of the game we don’t have guidance for 2011 and so it’s very, very difficult to predict. The factors that you’re looking at seem to be very good. We would hope there would be some upside coming as you see recovery in livestock and from the Turf and utility division as well, but we do not have a forecast so I’m unable to give you a better answer. Thank you all for participating in the call today and of course as usual, we’ll be available to answer questions throughout the day. Bye.